Operator: Good day, ladies and gentlemen, and welcome to the ASUR first quarter 2010 results conference call. My name is Marisol and I will be your coordinator for today. At this time, participants are in a listen-only mode. (Operator Instructions) For opening remarks and introductions, I would like to turn the call over to Mr. Adolfo Castro, Chief Financial Officer. Please proceed, sir.
Adolfo Castro : Thank you, Marisol. Good morning, everybody. Thank you for joining us today for the conference call of our third quarter results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including risks that may be beyond our company's control. For an explanation of these risks, please refer to ASUR's filings with the Securities and Exchange Commission and the Mexican Stock Exchange. Today, I will just comment on the results for the quarter and how we see our markets evolving on the backdrop of the current economic environment in Mexico. To date, passenger traffic declined 3.6% this quarter, showing an improvement from the declines of 27%, 14%, and 6% posted in second, third, and fourth quarters of 2009, respectively. During the quarter, traffic declined 4.6% in January, 6.9% in February. In March, however, we saw the first positive comps since the start of the H1N1 virus in Mexico in April 2009. Keep in mind also that March traffic figures include one week of Easter week, while last year Easter holidays took place in April. Cancun reported its second consecutive quarter of positive domestic traffic since the H1N1 outbreak in Mexico in April 2009. We also continue to see the positive effect of the recovery of domestic routes lost in November 2008 when ALMA Airlines ceased operations. International traffic also continued its improvement trend, with all airports with the exception of Cancun and Oaxaca reporting positive comps. International traffic at Cancun fell 4%, a significant improvement from the declines posted in previous quarters. International passenger traffic, as a percentage of total traffic, remained relatively unchanged year-over-year at 66.7%. Passenger traffic between Mexico, Canada, and the United States represented 91.87% of total traffic compared with 90.91% in first quarter 2009. Looking ahead, we expect to see positive traffic figures, mainly as a result of the Easter comps, due to the strong decrease we saw last year, following the announcement of the H1N1 virus made on April 26 and the challenging domestic economic environment. The problem we saw in Europe because of the ashes has generated some flight cancellations at Cancun Airport. Total revenues fell 1.45% this quarter, driven by the decline of 0.9% in aeronautical revenues and 2.49% in non-aeronautical revenues. It's important to mention that the Producer Price Index during 2009 was nearly 2% in comparison with increase by 3.6% of the Consumer Price Index. Maximum tariff is adjusted with a PPI, excluding petroleum. Commercial revenues per passenger, in turn, fell 0.79% year-on-year to 60.15 pesos per passenger. This compares with 60.62 pesos per passenger in first quarter 2009 after a 5.6% appreciation of the Mexican peso against the U.S. dollar. Operating costs and expenses rose 1.51% this quarter. Although we maintain our focus on cost reductions to adjust our cost structure to the challenging environment, this quarter we saw the impact of the additional energy consumption resulting from the operation of the second runway at Cancun Airport, which was, as you may remember, began operations during October 2009. Operating profit for the quarter declined 4% to 506.8 million pesos, reflecting lower revenues and higher costs discussed before. As a result, operating margin fell by 139 basis points to 52.17% in first quarter 2009. EBITDA margins, in turn, declined 101 basis points to 68.63%. This quarter, we made capital investments of 94.31 million pesos, mainly on the final payments for the Cancun second runway, major maintenance of a runway in Merida Airport, and the start of terminal expansions in Veracruz, Villahermosa, and Oaxaca Airports. Moving to our balance sheet, we closed the year with cash and short-term investments with 1,331 million pesos, a 31.57% decline year-on-year, the majority on which remains in short-term investments. Remember that we paid 1,884 million pesos in cash dividends in the second quarter 2009. At the end of the quarter, ASUR's total bank debt was 495 million pesos under a 750 million pesos three-year credit agreement in which we entered in May 2009. This quarter, we made a second quarter – a second capital payment of 54.5 million pesos. Now, let me open the floor for questions. Please, Marisol, go ahead.
Operator: (Operator Instructions) And our first question comes from the line of Nick Sebrell from Morgan Stanley. Please proceed.
Nick Sebrell – Morgan Stanley : Good morning, Adolfo. Could you answer two questions? First, if you could talk – just give us an update on the second airport, what's the current status? Is – has the likelihood of it happening this year changed at all? And as the – the auction, I mean. The second one is debt. What kind of level over the long term are you targeting in terms of leverage? Do you have a net debt-to-EBITDA number in mind or anything else that you could give us?
Adolfo Castro : Okay. Hi, good morning, Nick. On the second airport, you know that during the month of April, Mexican President went into Tulum to announce the beginning of this project. Originally, during the event, they said that they would be publishing the bidding documents on April the 15th. As far as I understand or as far as I have been able to read on the newspapers in Mexico, the Undersecretary of Communications and Transport has said that the Antitrust Commission was not ready to issue an approval to the bidding documents. And that's why they have delayed this again. Today, we really don't know when they are going to be publishing the bidding documents. I'm expecting these to be made during the first two weeks of May.
Nick Sebrell – Morgan Stanley : Okay.
Adolfo Castro : In terms of –
Nick Sebrell – Morgan Stanley : And has there been – sorry, has there been an official statement as to ASUR's potential to bid on the airport?
Adolfo Castro : No. They cannot say anything about it because the way that this works in Mexico is that they have to publish the bidding document, then we have to, let's say, enter into the process and ask the approval from the Antitrust Commission and then the Antitrust Commission has to say yes or no. So this cannot be official until the process is started.
Nick Sebrell – Morgan Stanley : Okay, understood.
Adolfo Castro : In the case of debts, what we intend to do is to increase the leverage of the company in order to use our balance sheet in a better way. We do not have any specific goal for that. We will be doing this in a – I would say, a very slow pace. Of course, if the Riviera Maya project goes ahead and if we participate – or we are allowed to participate and then if we win, this may present a change in the equity structure of the company.
Nick Sebrell – Morgan Stanley : A change, how so?
Adolfo Castro : A change in the sense that, I suppose, a major – the major portion of this project could be leveraged, could be –
Nick Sebrell – Morgan Stanley : Yes, okay. So – got it. Understood.
Adolfo Castro : Sure.
Nick Sebrell – Morgan Stanley : Thank you.
Adolfo Castro : Welcome.
Operator: (Operator Instructions) Our next question comes from the line of Mauricio Santos from GBM. Please proceed.
Mauricio Santos – GBM : Hi, Adolfo, good morning. I had a couple of questions. I mean, the first question will be regarding CapEx for this year. Is it around 1.4 billion pesos? And the second question would be regarding your cost of service. Do you believe that the cost of service per passenger might remain stable or relative – or can be comparable to the figures in 2009? Thank you.
Adolfo Castro : Mauricio, in terms of CapEx, you have a press release that was published on April the 2nd last year, you have the official figures and those official figures are the commitments that we have with the government. Remember that a portion of these has been already paid due to the second runway of Cancun Airport and Terminal 3 at the same airport. I don't have the exact figure in the top of my head today, but I believe that you should deduct $50 million or 150 million pesos because of these payments that were made before.
Mauricio Santos – GBM : Okay. So you are keeping up with the Master Development Plan program investment. The thing is that the CapEx in the first quarter was too low.
Adolfo Castro : Yes. We are at the beginning of the project. As I have said during the introduction, we have started the terminal expansions in Veracruz, Villahermosa, and Oaxaca and you will see an increase in the speed – a speed increase in the following quarters.
Mauricio Santos – GBM : Okay.
Adolfo Castro : In the case of cost of services, today, we are trying to reduce the cost structure of the company as we have done during the third quarter and fourth quarter last year, basically resulted from the problem that we got in last year after the swine flu outbreak. I believe that we can maintain this, of course with the exception of the energy of the second runway in Cancun Airport.
Mauricio Santos – GBM : Okay. Thank you, Adolfo.
Adolfo Castro : You are welcome.
Operator: (Operator Instructions) Our next question comes from the line of Augusto Ensiki from Morgan Stanley.
Augusto Ensiki – Morgan Stanley : Hi. Good morning, Adolfo. So one question regarding non-aeronautical revenue. If you could tell us how much of that is fixed contracts or rent, as in minus the passenger variable part, how much would non-aeronautical revenue be? Thank you.
Adolfo Castro : Hi, good morning. In the cases of fixed rents, the most clear is the one that we charge to the banks. In the case of the banks, we cannot charge a concession fees or we cannot ask for a percentage on their deposit. The rest, I would say, is basically concession fees. From time to time when someone does not reach a normal level of sales, they will have to pay a minimum guarantee payment per passenger and then you can say partially that this is more or less a fixed amount. But I would say, in the most of the cases, what we charge is a concession fees, which is a percentage on sales.
Augusto Ensiki – Morgan Stanley : Okay. And is – so for example, for this quarter, could you say X-percent was concession fee and X-percent was from passengers?
Adolfo Castro : Well, I don't have a – any specific number to give you, but I would say probably 90% is concession fees.
Augusto Ensiki – Morgan Stanley : Okay, great. Thank you very much.
Adolfo Castro : You are welcome.
Operator: Our next question comes from the line of Pablo Abraham from BBVA Bancomer. Please proceed.
Pablo Abraham – BBVA Bancomer : Good morning, Adolfo. I want to know if there is any specific reason behind the huge increase in the general aviation and traffic passengers. Thank you.
Adolfo Castro : Well, I don't have an answer for that. It is clear that we do not follow that with a lot of attention. It's not too much for us and I will try to figure out what's happening there.
Pablo Abraham – BBVA Bancomer : Okay, thank you.
Adolfo Castro : You are welcome.
Operator: (Operator Instructions) Our next question comes from the line of Pablo Riveroll from Credit Suisse. Please proceed.
Pablo Riveroll – Credit Suisse : Thanks. Hi, Adolfo. A question on domestic traffic. What's your view on the recovery there? I mean, we saw in March for example, Cancun growing quite well, but pretty much the rest of the airports continued to be quite soft. And again, Cancun had a positive calendar impact because of the Holy Week. So excluding that, how much of a recovery are you seeing so far and what's your view on the relative recovery on domestic versus international for the remainder of the year?
Adolfo Castro : Hi, Pablo. Well, first, it's important to say that domestic traffic was decreasing since June 2008 and this was originated by the increase in the oil price and the debts of some of the low-cost carriers during that moment. Mexican economy is not nice. Also, I have to say that the airline fares are pretty high and that’s why I do not see a very strong domestic traffic. The recovery that we saw during the months can also be attributable to the additional long weekend that we had this year in comparison with last year and especially in the case of Cancun. For the future, what I see is more or less the same kind of recovery during the following two quarters and I hope that finally we will see a strong recovery in the fourth quarter of this year.
Pablo Riveroll – Credit Suisse : Okay. And you still expect international to perform better than domestically?
Adolfo Castro : Yes. In the case of the international, situation was – well, it has been improving a lot since the outbreak of the H1N1 virus during the month of April. You know it, it has been very public. The problem in Europe because of the ashes of the Icelandic volcano will have an impact on our operations of Cancun Airport. I can say that as of today, probably – as of today, we have approximately 30 to 35 flight cancellations and of course Europe does not drop, represents most of our traffic, but at the end of the day, it's more or less 6% of our passenger traffic. And this 6% was the – I would say, more or less cancelled for one week.
Pablo Riveroll – Credit Suisse : All right. Thank you.
Adolfo Castro : You are welcome.
Operator: And our next question comes from the line of Augusto Ensiki from Morgan Stanley with a follow-up.
Augusto Ensiki – Morgan Stanley : Hi, Adolfo. Sorry, one – one more question regarding taxes. We saw this quarter an effective tax rate of about 25%, given the tax loss carry-forwards and such. Do you have a view as to where your effective rate for the year might come in or even for the next coming quarters, if it will become more like it was last year, I guess around 35% or so?
Adolfo Castro : Okay. Of course in the case of taxes, that will depend on the results of the company. But my opinion is once we are seeing better results in Cancun and Cancun should start paying income tax instead of IETU tax. We will see an improvement on the effective tax rate. What I expect is a number below the one that we saw last year.
Augusto Ensiki – Morgan Stanley : Okay. That's good. Thank you very much.
Adolfo Castro : You are welcome.
Operator: (Operator Instructions) And we have no further questions at this time. Mr. Castro, do you have any closing remarks?
Adolfo Castro : Thank you, Marisol. As we anticipated, passenger traffic continues to improve. This is because of the effect that we saw last year as result of the outbreak of the H1N1 virus. Ashes from the volcano in Europe have originated some flight cancellations at Cancun Airport. Looking Ahead, we expect to continue to see a better traffic passenger – better traffic figures. And as a reminder, next Monday we will have our Annual Shareholders Meeting and we will keep you posted on that one. Thank you for your attention and being here with us on our conference. Have a good day.
Operator: Thank you for your participation in today's conference. This concludes today's program and you may now disconnect. Have a great day.